Operator: Good day, ladies and gentlemen, and welcome to the OSI Systems Incorporated Fourth Quarter and Fiscal Year 2019 Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this call will be recorded. I would now like to introduce your host for today’s conference, Alan Edrick, Chief Financial Officer. Please go ahead.
Alan Edrick: Thank you. Good morning and thank you for joining us. I'm Alan Edrick, Executive Vice President and CFO of OSI Systems. And I'm here today with Deepak Chopra, our President and CEO. Welcome to the OSI Systems fiscal 2019 fourth quarter and year end conference call. We would like to extend a welcome to anyone who is a first-time participant on our conference calls. Earlier today, we issued a press release announcing our fourth quarter and full fiscal year 2019 financial results. Before we discuss our results, I would like to remind everyone that today's discussion contains forward-looking statements. In connection with this conference call, the company wishes to take advantage of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to statements that may be deemed to be forward-looking under the securities laws. These forward-looking statements are based on management's current expectations, and are subject to uncertainties, risks, assumptions and contingencies, many of which are outside the company's control. Such statements include without limitation, information regarding the expected financial and operational performance of the company and its operating divisions; including the company's expected revenues, earnings and growth. Undue reliance should not be placed on forward-looking statements as actual results could differ materially from our forward-looking statements due to numerous factors, including factors described in the company's periodic reports filed with the SEC from time-to-time. All forward-looking statements made on this call are based on currently available information and speak only as of the date of this call. And the company undertakes no obligation to update any forward-looking statement that becomes untrue because of subsequent events or new information or otherwise. During today's conference call, we may refer to both GAAP and non-GAAP financial measures of the company's results. For information regarding non-GAAP measures and comparable GAAP measures and a quantitative reconciliation of those figures, please refer to today's earnings release which has been furnished to the SEC as an exhibit to a current report on Form 8-K. Before turning the call over to Deepak to discuss the company's general business and operations, I will provide a high-level financial overview of the fourth quarter and full fiscal year. First, we reported record fourth fiscal quarter revenues of 308 million, a 7% year-over-year increase driven by solid performance across each of our three divisions. For the full fiscal year, revenues increased 9% to record 1.182 billion. Second, we reported Q4 GAAP diluted earnings per share of $0.89 compared to $0.27 in the same prior year period. Non-GAAP Q4 EPS, which excludes certain items specified in our earnings release and discussed later on this call, came in at $1.15 per diluted share compared to $1.02 in Q4 fiscal '18 as we leveraged higher revenues to generate earnings growth. Third, we saw significant adjusted operating margin expansion with 180 basis points increase from 9.3% in Q4 fiscal '18 to 11.1% in Q4 fiscal '19. A reconciliation of the GAAP to non-GAAP adjusted operating margin is set forth in the earnings release. Fourth, our fiscal Q4 cash flow from operations was approximately 31 million, up 81% over the same period last year. This brought the fiscal year cash from operations to 190 million. And finally, our Q4 2019 and fiscal 2019 book-to-bill ratio for equipment and related services, non-turnkey, was 1.0. Before diving more deeply into our financial results and discussing our fiscal 2020 guidance, let me turn the call over to Deepak.
Deepak Chopra: Thank you, Alan, and again welcome to the OSI Systems earnings conference call. We had a great quarter achieving as Alan has mentioned record revenues for Q4 and the full fiscal year. All three divisions; Security, Healthcare and Optoelectronics contributed to our strong results. Throughout the year, we continued to gain strength in our current markets while simultaneously focusing on long-term initiatives to build the foundation for continued growth. Discussing each division in more depth, starting with the Security where Q4 fiscal 2019 revenues were up 6% year-over-year at 195 million and full year revenues were 8% higher at 748 million. Overall, the Security division saw worldwide activity for our security products and related services increase in fiscal 2019 versus the prior year. Various industry and macro factors have driven this increased activity. Airport security changes in Europe as prompted by the European Union mandate required airports to deploy new check baggage inspection systems. Additionally, countries that are experiencing increased commercial international trading activity require expansion and upgrades of existing port and land and border infrastructure. In the aviation and air cargo screening product lines, we continued to experience a high level of activity as the ECAC deadlines in Europe approach airports enhance their efforts to become compliant. During the quarter, we expanded our install base of our RTT computed tomography CT scanning systems for check baggage and air cargo applications internationally. Furthermore, air cargo customers are improving their operations by adopting our RTT fast package solution combined with conventional X-ray with higher scanning speeds. We are also gaining traction with the new line of checkpoint screening solutions called ORION which have a technology design offering enhanced image quality and improved reliability as well as an advanced operating system and intelligent bag management technology. Multiple models of ORION are currently available with additional models in development. On the turnkey services, we expect to have new programs go operational in Guatemala and in Southeast Asia around the middle of this fiscal year. We’re also working on an integrated services project which includes equipment, civil works, datacenter integration, training and follow-on services in the Middle East. Our cargo product line was among the growth leaders in our portfolio during the quarter and throughout the year, and we are currently working on several significant hardware and software projects with various U.S. government agencies and international. As we have expanded our installed base through the new cargo installations this year, we see growth for related maintenance service, training and support ongoing. Some of the examples of our wins in Q4 for the Security division are as follows. For services, we were awarded a multiyear contract valued at $28 million from a U.S.-based prime contractor to provide service maintenance, training and sustained engineering and logistic support for multiple platforms of Rapiscan baggage, parcel and cargo inspection systems. We also received a $25 million delivery order from $140 million indefinite delivery, indefinite quantity order with the U.S. CBP, Custom and Border Patrol, to provide service, maintenance parts and logistics for our existing fleet of inspection systems. And finally, we were awarded a multi-year U.S. state contract valued at approximately $5 million to provide comprehensive service and maintenance support for baggage and parcel checkpoint inspection systems installed at correctional facilities and detention centers. These are only a few of our wins in the quarter but helped illustrate the breadth of the customer base and end-user applications. On the check baggage front, we remain focused on capturing opportunities at international airports and air cargo. During Q4, we announced a follow-on order for approximately $10 million to provide additional units of the RTT 110 Real Time Tomography explosive detection system and related maintenance and spare support to a European international airport. At the checkpoint, we’ve been making great strides with our new ORION 900 series product line. We are also gaining traction internationally with the Rapiscan 920 CT at the checkpoint which we have sold to several international customers since its launch in mid fiscal 2019 and expect its positive growth to continue in fiscal 2020. As we look ahead, the pipeline is very robust for the Security division and thus we are well positioned for fiscal 2020 with a breadth of opportunities across numerous platforms both internationally and in U.S. Moving to Optoelectronics. In the fourth quarter, the Optoelectronics and Manufacturing division generated total revenues of $75 million which was a 14% increase from the same period a year ago and achieved $289 million in revenue for the year or about 13% higher than the prior year. This improvement resulted from a mix of organic growth and contributions from an acquisition that closed in early fiscal 2019. The Opto team has done a great job of leveraging its position in sensors and flex for aerospace, telecom, defense and medical original equipment manufacturing equipment customers. Our flex product lines have performed well in fiscal 2019. We anticipate continued growth and have enhanced our product offering to customers with in-house prototype capabilities for flex assembles. Going forward, our focus for this division is to add technologies and capabilities that make us more valuable to our OEM customers. We believe that our customers value a full range of vertically integrated services including component design and customization, subsystem concept design and application engineering, product prototyping and development and efficient manufacturing. Given the level and quality of Opto starting backlog, we believe that the division is getting off to an excellent start for fiscal 2020. Moving on to Healthcare. For the second consecutive quarter, we saw year-over-year top line growth at Spacelabs which resulted to significant operating income growth. The management team’s focus on the core markets of patient monitoring and cardiology and related supplies and accessories following our exit of the unprofitable anesthesia business is beginning to payoff. Some of this positive effect is evidenced by our three large orders in the U.S. totaling about $24 million that we received during the fourth quarter. The Healthcare team continues to focus on hospital patient monitoring solution opportunities and differentiates itself by offering innovative workflow enhancement tools. An example is the SafeNSound productivity software solution which assists hospitals in providing value-based care by streamlining workflows, managing patient throughput and improving communications between caregivers. SafeNSound has an associated app that allows the nursing staff to secure admit and discharge patients. The Healthcare division ended fiscal 2019 with a record backlog, positioning us well as we enter fiscal 2020. Overall, in summary, we are pleased with our accomplishments in Q4 and fiscal 2019. As we look ahead, we plan to continue to focus on making strategic investments and acquisitions, capturing opportunities in the pipeline and strengthening our businesses overall. We look forward to a successful fiscal 2020. With that, I’m going to turn the call back over to Alan Edrick to talk in more detail about our financial performance and guidance before opening the call for questions. Thank you.
Alan Edrick: Thank you, Deepak. Now I will review financial results for our 2019 fiscal fourth quarter in greater detail. As mentioned previously, our revenues in Q4 of fiscal '19 were up 7% year-over-year. Q4 revenues in the Security division reached record levels of 195 million, an increase of 6% from Q4 of fiscal '18 driven by growth in the cargo and RTT product lines. The Opto division continued its impressive performance with revenues increasing 14% year-over-year to a new Q4 record of 75 million. This was driven by strong external revenues including revenues generated by a company we acquired early in the fiscal year and also due to strong intercompany revenues. Our Healthcare division posted solid revenue growth of 5%, driven by U.S. demand which was leveraged to significant growth in profits. The Q4 gross margin of 36.7% was up approximately 150 basis points compared to Q4 last year. We saw gross margin expansion in all three divisions, most notably in our Opto and Healthcare divisions which both had favorable product mixes and continued to exhibit operational efficiencies. As mentioned on previous calls, our gross margin will fluctuate from period-to-period based on revenue mix among other factors. Moving to operating expenses. SG&A expenses were up 2.4 million or 4% in Q4 of fiscal '19 over the same prior year period to support our revenue growth and our expanding opportunity pipeline. We work across all of our divisions to improve efficiencies and prudently manage our cost structure. R&D expenses in Q4 were 16.3 million, up by about 1.2 million from Q4 of the prior year, largely driven by the Security division. We remain focused on innovative product development which we view as vital to the long-term success of our business. Impairment restructuring and other charges were 2.7 million in Q4 of fiscal '19 as compared to 11.5 million in Q4 of fiscal '18. For the full fiscal year, such amounts were 3.8 million in fiscal '19 compared to 35 million in the prior year. Moving to taxes. Excluding the impact of discrete tax items, our effective tax rate in fiscal 2019 was 28.9% compared to 26.8% in fiscal '18. The Q4 fiscal year '19 effective tax rate, excluding the impact of discrete tax items, was 30.4% compared to 19.7% in Q4 of the prior year. I will now turn to a discussion of our non-GAAP adjusted operating margin, which excludes impairment restructuring and other charges and acquired amortization expense. The company’s non-GAAP adjusted operating margin improved to 11.1% in Q4 of fiscal '19 from 9.3% in Q4 of fiscal '18. Each division reported adjusted operating margin increases. This Q4 growth was most significant in the Healthcare division in which operating margins increased to 13.1% from 3.8% in the prior fiscal year due primarily to revenue growth and effective cost management. As has been noted previously, the Healthcare division has relatively higher contribution margins and thus operating margin improvements are quite sensitive to the changes in the top line. The Security division’s operating margin expanded to 13.5% in Q4, up from 12.6% for the same quarter last year. And finally, the Opto division’s operating margin increased nicely from 10.6% in Q4 last fiscal year to 11.9% in Q4 of this fiscal year. Moving to cash flow. In Q4 of fiscal '19, we’ve generated 31.4 million in operating cash flow compared to 17.3 million in Q4 of the last fiscal year. This strong Q4 fiscal '19 cash flow was driven by increased profits and improved inventory management as days inventory decreased both sequentially and year-over-year to 127 days in Q4 of fiscal '19 compared to 140 days in Q3 of fiscal '19 and 153 days in Q4 of fiscal '18. This was partially offset by an increase in days sales outstanding to 70 days in Q4 of fiscal '19 from 67 days in Q4 of the prior year. CapEx in the quarter was 6.5 million, which included investment for turnkey projects, while depreciation and amortization was 13.8 million. Our balance sheet remains strong. We ended the fiscal year with net leverage of approximately 1.3. So finally, turning to guidance. For fiscal year 2020, we anticipate revenues of 1.235 billion to 1.27 billion and non-GAAP earnings per diluted share of $4.58 to $4.80. This non-GAAP diluted EPS range excludes potential impairment restructuring and other charges, amortization of acquired intangible assets and non-cash interest expense and their associated tax effects as well as any discrete tax items. We currently believe the sales in non-GAAP earnings guidance reflect reasonable estimates. Actual sales in non-GAAP earnings, however, could vary from the anticipated ranges due to the risks and uncertainties specifically affecting our business and generally affecting industries in which we operate. These risks and uncertainties include items beyond our control such as site readiness or product installations, evolving government trade policies, customer acceptance of our products and the timing of orders and contract renewals in each division and other risks and uncertainties discussed in our SEC filings. We have continued to grow our business while investing in product development and making selective strategic acquisitions. These investments enable OSI to continue our leadership role with innovative products and solutions across our various industries. Thank you for participating in this conference call. And at this time, we would like to open the call to questions.
Operator: [Operator Instructions]. Our first question comes from the line of Sheila Kahyaoglu with Jefferies. Your line is now open.
Sheila Kahyaoglu: Hi. Thank you. Deepak, I think you mentioned in your prepared remarks new turnkey projects in Guatemala and Asia. Maybe can you just give us an update on how large these are, were they competitive, were there RFPs and if you could also comment on Mexico? I know it’s not as significant anymore.
Deepak Chopra: Sheila, thank you. Answer to the question I think I’ll take it both myself and Alan. All of these are open international tenders. It’s competitive and we’ve said it before that these kind of things also have a longer cycle, because it’s not just an equipment and the customer is committing to 10, 15 years of a long-term relationship with the vendor. Our Guatemala is the same way. Our Puerto Rico is the same way. Albania is the same way and Mexico. Regarding the size, maybe Alan you can talk a little bit more about Guatemala and the Asia one?
Alan Edrick: Sure. Sheila, so Guatemala and Asia are both nice contracts for us. They are both smaller than Puerto Rico. So we’re looking for them to come online before the end of the calendar year and contribute to the overall company.
Deepak Chopra: Back to your other question about Mexico, yes, we still – the two-year contract that was a renewal ends sometime in January 2020. We don’t talk much about it, but we are in active discussions with the customer.
Sheila Kahyaoglu: Okay. Thank you. And then on Healthcare, really solid margins here. I know mix is highly variable. How do we think about that, because I think your guidance implies a pretty steep deceleration?
Deepak Chopra: One of the things that we are emphasizing and I said it in my remarks, we had what we call an unprofitable business in the anesthesia. And over the last year we exited that business gracefully with no damage done and we think that with that exit of the unprofitable business they other business of patient monitoring, which is what we are known for, and the cardiology both of them are higher margin businesses and we want to continue to focus the growth of that. Alan?
Alan Edrick: Yes. Sheila, I would just add we don’t believe our guidance implies a steep deceleration. The Healthcare business has some seasonality to it. So the Q4 quarter is typically a stronger operating margin than some of the other quarters, for instance, Q1 which is usually a slower quarter on the Healthcare side particularly on the international side with a lot of the international world being on vacations. So as mentioned earlier, our operating margins in Healthcare are quite sensitive to the top line given the high contribution margins in this business. But overall for the year we feel we are very optimistic about Healthcare and really looking forward to a good year.
Sheila Kahyaoglu: Do you think – last year Q1 was a little bit – it’s difficult to tell. Do you think a double-digit margin is feasible for 2020 and beyond for this business?
Alan Edrick: Yes, so we don’t provide guidance by division. We provide it for the company overall. We agree with you. Last year Healthcare was soft in Q1 and then we started to gain momentum in Q2 and Q3 and Q4. So from a year-over-year perspective, we would anticipate some nice increases in Healthcare coming out of the gate in Q1.
Sheila Kahyaoglu: Okay. Thank you. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Larry Solow with CJS Securities. Your line is now open.
Peter Lukas: Hi. Good morning. It’s Pete Lukas for Larry. Just following up on the previous question on the two new turnkey contracts for the first half of 2020, did upfront cost from these contracts before revenue have any impact on margins in the current quarter Q4?
Alan Edrick: This is Alan. Thank you. Good question. They did have some impact as we invest in advance of receiving revenues. However, that being said, they were not significant. But yes, with all of our turnkey contracts we do have upfront CapEx as well as operating expenses before the revenues begin. But given the size of these two deals, they were not overly material to the company on a consolidated basis.
Peter Lukas: Great. Thanks. And book to bill in the quarter nearly flat, I realize often lumpy. Could you share that at trailing 12 months book to bill or give us any more color on current backlog?
Alan Edrick: Yes. This is Alan. I’ll start with that as well. So on the trailing 12 months basis was similar to Q4. On a non-turnkey basis, our book to bill was approximately 1.0. So the change in our backlog from last year is largely a function of our Mexico contract. As you know from following us for a long time when we received each turnkey contract, well then the backlog only goes in one direction associated with that contract until such time as the next renewal as the earlier question had implied. So we believe we have a strong backlog coming into fiscal 2020 with a very strong opportunity pipeline.
Deepak Chopra: This is Deepak here. Just to add onto it, I’m sure that you guys have been reading a lot. There’s a lot of activity going on in the U.S.-Mexico border. The budgets have gone up. There’s a lot of activity. We are well positioned with equipment on both sides of the border. We are actively working with the U.S. government on that and we think that the pipeline – as we mentioned before, the pipeline continues to be very robust and strong with the RTT in the European sector where the airports are going towards a deadline that they need to meet to enhance their equipment. So both those are things are adding up to a very strong positive pipeline and obviously July, August is slow for Europe, but we look at that we are entering the year with a very positive outlook.
Peter Lukas: Great. Thanks. And lastly from me just jump into Optoelectronics, can you expand on what is driving the continued improvement in segment margin? I understand it fluctuates period-to-period, but do you think this margin expansion is sustainable? And have you seen any signs of slowdown in perhaps your most economically sensitive segment?
Alan Edrick: Sure. This is Alan. I’ll start with that and then Deepak can comment. We’re thrilled with the job that our management team has done on the Opto side. We’ve seen strong operating margin expansion for a number of quarters and frankly a number of years. So our team has really done a great job. And part of that has been the strategic shift to higher margin products and services. So, for instance, Deepak was referring earlier in the prepared remarks to the flex business and the flex business that we have comes at higher margins. We’ve also moved upstream with many of our customers to focus on – higher profitable customers and have exited some relationships with customers that were more marginally profitable. So the team has done a great job. The industries that the team is focused on represent some good margin opportunities and we believe there’s further opportunity ahead of us there.
Deepak Chopra: Yes, well said, Alan. And just to add onto it, the whole focus and I said in my prepared remarks, our strategy in that business is we want to broaden our technology platform so that we could take a bigger chunk and be a better vendor to our customers. And the flex cable business and the marketplace in aerospace, defense, medical, which are the primary big marketplaces to which we cater to in that business, that whole business model is focusing on we are looking at higher margin up the food chain and get a broader technology platform both by organic development, at the same time do very strategic product technology acquisitions.
Peter Lukas: Very helpful, thanks. I’ll jump back in the queue.
Operator: Thank you. Our next question comes from the line of Jeff Martin with ROTH Capital Partners. Your line is now open.
Jeff Martin: Thanks. Good morning, guys.
Deepak Chopra: Good morning.
Jeff Martin: Deepak, I wanted to get a little bit of additional insight from you on the ORION system? Where would you rank that in terms of growth drivers for the Security division? And does that indicate you see some potential growth in checkpoint screening in the near future?
Deepak Chopra: Good question. Basically, our ORION product line is the new ramp up to our total product line in the checkpoint area what we call and we’ve been at it for about two years now. We started launching some of the models; are very well received. They have better features. Frankly, they even look prettier and they perform better and we are working very aggressively to introduce the new features in the marketplace. And the second thing that’s very exciting about it is that we also have a checkpoint CT that we have 920 CT that has got a lot of interest internationally. We’ve made some successful demonstrations in international airports. We have sold some. And we have said that in my remarks that the two growth opportunities significant ones for next year in the Security’s space is cargo and RTT and 920 CT checkpoint and the ORION new product line will be what I call a replacement to our standard product line with more features.
Jeff Martin: Great. That’s very helpful. Thanks. I wondered if you could also elaborate a bit on the integrated services project you mentioned. I think that was a comment following the two new turnkey programs and that’s in the Middle East you said. I’m wondering if that is of relative size of something like Guatemala or the Southeast Asia contract or if it’s bigger than that?
Deepak Chopra: Well, for competitive reasons, don’t want to talk about what size specifically but it’s a significant contract both in the revenue side and strategic importance. Keep in mind that we have been very successful in Albania, we’ve been successful with Puerto Rico, we’ve been successful in Mexico. We are very excited about the new one coming online in Far East. We wanted another anchor account in Middle East so we can look at all the various parts of the world so we can bring our customers and other potential people to look at it. So it is a significant size. It’s not as big as Mexico. It’s smaller than or same size of Puerto Rico when it starts activating. And I think we’ve said it in a couple of comments, it’s a unique thing that it’s a contract long term which will expand as it performs in the phases 1, 2, 3, 4.
Jeff Martin: Thank you for that. And then finally was just curious – I know you don’t give quarterly guidance but if you could rank the quarters in terms of at least how you’ve constructed your guidance, which quarters you’re currently expecting to be the strongest on a quarterly revenue basis? Thanks.
Alan Edrick: Jeff, this is Alan. So you’re right. We tend to provide annual guidance, but let me give you a little color here. Typically, Q1 is a little bit on the lighter side for us given the summer holidays and stuff, though we would expect year-over-year increases. And then as we go throughout the year, we expect to gain some nice traction. So generally speaking we might see Q2 and Q4 being some of the strongest quarters for us. The timing of course will vary as we go through the year based on bookings and customer needs and requirements. But on a high-level basis, that’s how we might see it.
Deepak Chopra: Jeff, just to add on to what Alan said, we have been – and you’re very astute about it, we’ve said it in many, many times this business tends to be lumpy, this business also is dependent upon as you get to larger and larger cargo contracts, RTT contracts, it’s sort of dependent upon when the flight is ready, when the civil works are ready, when the customer is ready to receive it and the ancillary product and equipment that the customer has to provide to link onto our product line, so that does have that ability that from quarter-to-quarter it can change.
Jeff Martin: Certainly. Great. Thanks for the color, guys. I appreciate it.
Operator: [Operator Instructions]. Our next question comes from the line of Josh Nichols with B. Riley FBR. Your line is now open.
Josh Nichols: Thanks for taking my question and good to see that the company’s executing pretty well on all fronts. I did want to ask given that the European check baggage conversion has been such a favorable tailwind if you had to guess how far through that process do you think we are at this juncture?
Deepak Chopra: Good question. This is Deepak here. I think we did say it in the last conference call, maybe you asked the same time or somebody else, it’s difficult to sort of pull that real number, but if we have to guess it, we would say between 30%, 35% is done or maybe 40% is done and it will start accelerating as it gets more towards the deadline. But more than that what we are seeing is the thing that we have been very excited about it is that our product line has been very well received in the air cargo industry because of its uniqueness, the speed and some of the other features it has for high throughput and air cargo has become a very, very robust pipeline market and done very well for us and we are very much involved into it, so that goes hand-in-hand plus the development of new airports in the Middle East, in Asia Pac, all that is leading towards what we think it’s going to be – this is going to continue a growth opportunity.
Josh Nichols: And obviously the September quarter could be a big quarter for government with fiscal year end. Could you talk about what you’re seeing on the U.S. side thus far being about two-thirds of the way through this quarter?
Deepak Chopra: Well, obviously, everybody’s knows historically that this is the government year-end and people depend a lot on the bookings. That’s true. There’s a lot of talk. There’s a lot of activity going on. And we have said it before and it’s public knowledge that CBP, the Customs Border Patrol, their budgets have increased tremendously towards the southern border. We are very well placed. But until we have something specific to talk about it and for comparative reasons, we would not say anything more.
Josh Nichols: And then just kind of a tangent to that point, do you anticipate doing a lot more work this year with like the TSA, or do you think there’s bigger opportunities with more like the borders and ports? It sounds more like the borders and ports are where the big growth opportunities are.
Deepak Chopra: One is timing related. We are very much focused onto both sides, our businesses both into the aviation side and cargo. But the procurement cycle for TSA for the next replacement cycle is still far away into 2022 whereas the cargo and stuff there’s a lot of activity right now, so there’s much more activity going on. But long term we believe that all this area will continue to see very robust growth. And the other thing I want to mention, we’re also moving up the food chain. We’ve been talking about it. We are going into the integrated services business. We’re going into software. We’re going into training. And we are working with the U.S. government to continue to broaden what we call is a more efficient solution to then just selling equipment.
Josh Nichols: Thanks. That’s helpful. I’ll hop back in the queue.
Operator: Thank you. I’m not showing any further questions at this time.
Deepak Chopra: I want to thank everybody for joining our call. We look forward to speaking with you again on the next Q1 in October. Again, I want to thank the employees and the stockholders. We’ve been very well received and our business is doing very well. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You may all disconnect. Everyone, have a great day.